Chuck Graves: Thank you, operator. Good morning, everyone, and welcome to the Owens & Minor First Quarter 2020 Earnings Call. I’m Chuck Graves, and on behalf of the team, I’d like to read a Safe Harbor statement before we begin. Our comments on the call today will be focused on financial results for the first quarter of 2020, a response to the COVID-19 pandemic and our outlook for the remainder of the year, all of which are included in the press release we issued earlier this morning. Please note that certain statements made on this call are forward-looking statements, which are subject to risks and uncertainties. These forward-looking statements are intended to qualify for the Safe Harbor from liability established by the Private Securities Litigation Reform Act of 1995. All statements made on this call today, other than statements of historical facts, are forward-looking statements and include statements regarding our anticipated financial and operational performance. Forward-looking statements made on this call represent management’s current expectations and are based on information available at the time such statements are made. Forward-looking statements involve numerous known and unknown risks, uncertainties and other factors that may cause our actual results to differ materially from any results predicted, assumed or implied by the forward-looking statements. The company has explained some of these risks and uncertainties in its SEC filings, including in the Risk Factors section of its Annual Report on Form 10-K and quarterly reports on Form 10-Q. Except as required by law or the listing rules of the New York Stock Exchange, the company expressly disclaims any intent or obligation to update any forward-looking statements. Additionally, in our discussion today, we will reference certain non-GAAP financial measures and information about these measures and reconciliations to the most comparable GAAP financial measures are included in our press release, in our quarterly report on Form 10-Q. This morning, I am joined by Ed Pesicka, our President and Chief Executive Officer, who will provide commentary on both the first quarter and on the COVID-19 pandemic. And Andy Long, our Executive Vice President and Chief Financial Officer, who will discuss our financial results for the quarter and provide additional insight into our outlook for the remainder of the year. Now I would like to turn the call over to Ed, who will start things off this morning. Ed?
Ed Pesicka: Thank you, Chuck. Good morning, everyone, and thank you for joining us on the call today. Before I get to the four main topics of my prepared remarks, I want to spend some time on the COVID-19 pandemic that has affected the way we operate. I am proud of our team’s response to this crisis. We have lived up to our mission to empower our customers to advance healthcare. Over the last quarter, I have personally seen our values play out in real-life as our teams work with customers, suppliers, GPOs and various agencies of state and federal governments to provide creative solutions due to these unprecedented circumstances. Now more than ever, customers depend on our distribution, products and service teams and collaboration has never been better. As always, keeping our teammates safe as paramount. For example, we provided PPE to all our teammates in our distribution and manufacturing locations. We have trained our teammates on the proper use of PPE, implemented social distancing, and have put into practice temperature scans when our teammates arrive at work. Related to working remotely, we had an existing preparedness plans in place, and we seamlessly implemented those plans to allow for remote work where it was appropriate. We’ve adjusted our policy for teammates carrying for sick family members and provided free telemedicine options. We’ve quickly adjusted our product delivery methods based on new and ever-changing customer protocols to keep our drivers and hospital personnel safe. And finally, we have seen great teammate engagement and low absenteeism during these extraordinary times. As I mentioned earlier, today I’m going to cover four topics. I will first discuss the continued financial improvement as seen in the first quarter of the 2020 results, while we expect a fluid year with downs and ups, our business model gives us comfort to reaffirm our full year EPS guidance range for 2020, along with the expected double-digit EPS growth beyond 2020. Second, I will review our continued operational improvement and strength. Third, I will discuss the returns related to the disciplined reinvestment in our business, which began in 2019 and continues into 2020. And finally, I will demonstrate the nimbleness of our company to adjust and leverage across all three pillars: distribution, products and services. Related to the first topic of financial improvement, I will start with our year-over-year improved financial performance. In the first quarter, we saw year-over-year improvement in many financial indicators, starting with earnings. On a constant currency basis, we achieved a 33% year-over-year increase in adjusted net income per share. These improvements were driven by the third consecutive quarter of year-over-year gross margin expansion due to operating efficiencies and revenue mix. Moving now to cash flow. As we have aggressively improved the operations of the business, we are proud to say that this is the fourth consecutive quarter of generating positive operating cash flow. Specifically, we generated $93 million of operating cash flow in the first quarter. And this cash flow improvement enabled us to continue to pay down debts, improve the strength of our balance sheet and appropriately reinvest in the business and seize opportunities when they exist. In fact, over the past four quarters, we have reduced our debt every quarter, resulting in nearly $200 million of debt reduction. Next, let me move from the financials to discuss the second topic, operational improvement and strength. I am pleased with the way our operations have performed in response to the unprecedented requirements we have faced. Our controllable service metrics remain high and are consistent with pre-COVID levels. We have received many accolades from our customers in recognition of our efforts during this crisis that demonstrate our industry-leading operations and strength. Here is just one example from a customer, "In working through these challenging times with all of the med service distributors, I would be remiss if I didn’t pause to share that our field and disaster response teams consistently tells Owens & Minor’s responsiveness and willingness to support our members. You are differentiating yourself in the market when it matters most. Your team is incredible and stands out with a proactive and diligent communication and steadfast dedication to find solutions when they are tough to come by. Keep pushing hard, keep up the great work, and please take a moment to share with your team how appreciative we, our members, and most importantly, our caregivers are for your efforts. Owens & Minor is making a difference". Wow! I think that says it all about our operations and strength. Now let me move to our third topic and discuss some of the recent investments we’ve made. As I mentioned last quarter, beginning in 2019 and continuing into 2020, we expanded our U.S. manufacturing capabilities to produce non-woven laminated fabric used in PPE products such as surgical gowns and masks. The laminator, as we call it, enables us to significantly control manufacturing and supply chain of critical fabric needed to protect patients and clinicians. In fact, we recently participated in operational local production. A joint project with the city of New York, the White House and UPS in which teammates in our Lexington, North Carolina facility manufactured 1 million cubic yards of fabric for delivery to New York City garment workers, so they could make medical gowns for New York City hospitals. In addition to the laminator, we have also aggressively retooled and recommissioned equipment to produce incremental PPE. As I previously mentioned publicly, we have significantly ramped up our Americas based mask and gown production beginning in late January. Our manufacturing operations have been running 24/7 and at a record pace. And we continue to add production capacity. The result of these investments are as follows: production of N95 respirators have increased by more than 300%, production of standard masks have increased by more than 50%, overall production of masks and respirators combined has increased by more than 50 million units per month. And finally, our production of isolation gowns in our Lexington, North Carolina facility has increased by more than 300%. What I want to make sure that isn’t missed is that these investments provide improved domestic control of the PPE related to both manufacturing and supply chain, which is critical to our customers. Most recently, we have been named by the Department of Health and Human Services as one of the five manufacturers to collectively provide approximately 600 million N95 respirator masks over the next 18 months. We are proud to have received this award. To satisfy the increased demand in N95 respirators, we will again double our capacity through the addition of multiple new production lines in Del Rio, Texas, that should be fully operational later in the year. Just to put our PPE footprint and volume into perspective, as of today, we are expected to ship our 3 billion unit of PPE since the beginning of February. And finally, my fourth topic. I am pleased with the nimbleness of our company to adjust and leverage across all three pillars of our business during these unprecedented market conditions. And I believe it has been a differentiator for us, for instance, in addition to what I’ve already discussed around our production of PPE and as you heard in the quote from our customer, our strength in medical distribution has enabled us to get the products that are needed to our customers with speed due to our scale and control over the complete supply chain. We have worked closely with FEMA supply chain task force to quickly deliver critical PPE into specific areas where the impact of COVID-19 is the greatest. And our home healthcare business has steadily delivered to customers and operated with efficiency and compassion in dealing with customers during this period of great stress. We will continue to leverage our nimbleness and the ability to quickly adjust as we expect continued demand for PPE and as we prepare for the reemergence of electric procedures in the third quarter. While 2020 is expected to be very fluid with downs and ups, our demonstrated ability to quickly pivot and leverage our strengths to best serve our customers provide us with the confidence to reconfirm our full year adjusted EPS guidance of $0.50 to $0.60 per share. Finally, after reviewing with you the performance in Q1, our investments in our Americas based manufacturing footprint and our nimbleness to adjust in pivots all underpinned by our mission to put the customer first, while leading with integrity, you can understand why I believe Owens & Minor has a bright long-term future. Thank you for your time today. And now I will turn the call over to Andy for a discussion of our financial results and our outlook for the remainder of the year. Andy?
Andy Long: Thank you, Ed, and good morning, everyone. Today, I’ll begin with a review of our first quarter financial results and then discuss our expectations of how we believe the COVID-19 pandemic will impact our financial performance for the remainder of the year. Consistent with the fourth quarter earnings call, please keep in mind that results from our Movianto business unit are treated as discontinued operations. All aspects of the deal remain on track, and we expect this transaction to close this quarter. My comments today, unless otherwise indicated, will be on a continuing operations basis. For the first quarter, net revenue was $2.12 billion compared to $2.35 billion for the prior year. This change was primarily driven by increased global product sales of personal protective equipment or PPE and revenue growth from our home healthcare business. This was offset by lower net revenue in our medical distribution business from previously discussed customer non-renewals that occurred in early 2019 and to a far lesser extent, the impact of COVID-19 from reduced surgical procedures. We expect revenue results for the remaining three quarters of this year will be negatively affected by the impact that COVID-19 is having on the healthcare system, and I will discuss this in more detail later in my remarks. Gross margin in the first quarter was 12.65%, an improvement of 88 basis points over prior year, primarily due to an improved sales mix with a greater proportion of higher-margin global products revenues. Distribution, selling and administrative expense of $254 million in the current quarter was flat compared to the first quarter of 2019, primarily as a result of sales mix and investments in the business partially offset by operational efficiencies. Adjusted net income for the quarter was $2.4 million or $0.04 per share. Adjusting for the impact of unfavorable foreign currency in the quarter, our adjusted net income was $0.08 per share, which represents a 33% improvement compared to prior year. Now I’ll discuss our results by segment for the first quarter. Starting with Global Solutions, revenue was $1.85 billion compared to $2.12 billion in the prior year, with the change coming from declines in our medical distribution, as previously discussed, partially offset by continued growth in the home healthcare business. Global Solutions’ operating income for the year was $7.7 million compared to $21.6 million last year. The change in operating income was primarily from the lower revenue. Turning to the Global Products segment. Net revenue was $391 million, compared to $347 million last year, which represents a 12.7% increase year-over-year. Operating income of $18.6 million more than doubled compared to $7.7 million last year. The increase in operating income was driven by increased revenues of PPE related to COVID-19 and continuing favorability in commodity price trends, partially offset by the impact of foreign currency of approximately $3 million. Now I’d like to discuss our cash flow, the balance sheet and debt profile. For the quarter, we generated $93 million of consolidated operating cash flow, driven primarily by continued working capital improvements. Total debt was $1.53 billion at March 31, a reduction of $24 million compared sequentially to the fourth quarter and a reduction of $195 million over the last four quarters. As I mentioned last quarter, we’ve taken significant steps to strengthen our financial foundation to position the company for future growth. As you know, we made a strategic decision to divest our Movianto business for $133 million. The proceeds from this transaction will be used to pay down debt. As I mentioned, we currently remain on track to close this deal in the second quarter. In addition, we amended our credit agreement to provide additional financial flexibility. We also entered into an accounts receivable securitization program, which provides excess of up to $325 million of cash at favorable rates, which we can use to further refinance debt. In February, we used $150 million in proceeds from this program to repay a higher interest debt. We have demonstrated our ability to strengthen our balance sheet by utilizing cash flow generated by the business to pay down debt while maintaining ample liquidity at a lower cost. Deleveraging remains a top priority, and we’re evaluating various options to further reduce debt. We also intend to continue reinvesting in the business for future growth. Next, I’d like to spend a few minutes discussing our earnings outlook for 2020. As you saw in today’s press release, we confirmed our adjusted net income guidance of $0.50 to $0.60 per share for 2020. That said, the cadence of earnings across the remaining three quarters of the year is expected to be significantly affected by the impact of COVID-19 and will be much different than we originally anticipated. Let me spend a few minutes discussing the assumptions around our guidance and the expected timing of these changes. Starting with the top line, we expect COVID-19 to have a net negative impact on revenue for the balance of the year. You’ll see this play out in our medical distribution business and is driven by a reduction in surgical procedures that began in late March. At the current time, we’re assuming that this slowdown will continue through the entire second quarter and create a revenue headwind of approximately $480 million or $160 million per month compared to our original expectations. While difficult to predict, we have assumed a partial recovery in the second half of the year as some of these deferred surgical procedures are anticipated to be rescheduled, coupled with ongoing higher demand for our portfolio of PPE products. Obviously, increases in elective surgical procedures, earlier than assumed, will be beneficial to revenue and continued delays in the third quarter would be incrementally detrimental. Turning to our Global Products business. The COVID-19 pandemic has created unprecedented demand for PPE products, and we have been running our production of these critical products 24/7 in an effort to meet the demand. We believe the demand for PPE products will continue at higher-than-normal levels for the rest of the year, coupled with sales associated with the Federal Government’s Health and Human Services Strategic National Stockpile, which we were recently awarded, as Ed previously discussed. These sales will only partially offset the revenue shortfall from lower surgical volumes. Our assumptions are also based on having continued access to raw materials and ongoing favorable trends in commodity prices. While these dynamics should result in a net negative impact on full year revenue, especially during the second quarter, the favorable mix of higher global product sales with their better margin profile are expected to result in a neutral bottom line impact for the year as compared to our previously communicated adjusted EPS guidance. As Ed mentioned, our ability to adjust our operating model to support the changing needs of our customers gives us the confidence in affirming our full year earnings guidance. My comments and our outlook to this point is focused primarily on the full year. However, I think it’s important to stress that this impact will not happen uniformly over the remaining three quarters. We don’t typically discuss quarterly expectations, but the COVID-19 pandemic has created an unprecedented operating environment of rapid and dramatic change in healthcare. I want to stress that we expect these changes will have its most pronounced impact on our financial results during Q2 as a result of the significant reduction in sales in our medical distribution business, as I described earlier. We don’t anticipate the upside in our Global Products business will be able to materially offset this impact in Q2 and as such, it is highly unlikely that we will get to breakeven in the second quarter before returning to better-than-originally expected results in the second half of the year. While our financial targets for the year remain the same, the path we expect to take to get there has changed dramatically due to an unprecedented series of events has unfolded over the last few months. That said, we believe our strong market position, our ability to serve our customers in normal and extraordinary times and our disciplined reinvestment in the business will allow us to achieve the 2020 financial targets we established at the beginning of the year and to deliver double-digit earnings growth into the future. Thank you. And with that, I’ll turn the call back over to the operator to begin the Q&A session. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Robert Jones with Goldman Sachs. Your line is open.
Jack Rogoff: Great. Thanks for taking my question. This is Jack Rogoff on for Bob. Can you talk about what the level of elective procedure volume headwinds you saw exiting March versus what’s embedded in your expectations over the remainder of the year?
Andy Long: Sure. Now, this is Andy. I’m happy to answer that. So around the middle of the month of March, we did see a sharp decline in elective or products associated with elective procedures. And in terms of how that affected our guidance, we assumed that what we saw in the last two weeks of March would carry forward at the same level for the entire second quarter. And then at that point, we’re projecting a recovery and then an actual – a partial recovery of those elected procedures that were canceled and/or delayed in Q2 that those would be rescheduled, a portion of those will be rescheduled into Q2 and Q3. And then in terms of that cadence, also expecting stronger PPE sales out of our medical distribution business as well. So that’s part of that strength in the second half of the year.
Ed Pesicka: Jack, this is Ed. One of the things we had done – I agree with Andy, that we did see the sharp drop-off in – at the end of March there. We have spent significant time staying very close to our customers, understanding as they’re getting ready to reopen potentially in timing. So one of the things we are doing is just like we do at the end of the year by building inventory for the beginning of the year, rush, we’re going to make sure that we have the right investments in inventory throughout the second quarter. So that way, if that – if the elected procedure start earlier than we expected, we’re ready and if they start at the end of the quarter or in the beginning of the third quarter, we’re ready also with products, so we don’t have any service interruptions, and we can really overserve the customers as they come back up online.
Jack Rogoff: Got it. Thanks. That’s helpful. And then I’m sure there’s an interplay for your hospital customers between financial challenges near term and then stimulus from the government, along with the eventual return of elected procedures. I am curious how you expect this to impact your working capital improvements over the balance of the year as your customers work through these dynamics.
Ed Pesicka: Sure. Here’s one of the things we saw, and this maybe have to shed some light onto it. If you think about when people started to work remotely, so we had a lot of our hospital networks send their people to work remotely kind of the back office accounts payable teams, if you look at it specifically around AR. We saw a delay in collections for a period of time as people are getting used to working from home. And about a week or two after people work from home, plus you add into that, the Cares Act, the funding, we saw our receivables come back to normal rates. We saw a large pickup on payables and reduction of receivable – their payables to us already on the receivables. And we really haven’t seen a big impact of that so far during the quarter. Andy, I don’t know if you want to add any other commentary around that.
Andy Long: Yes. Those are metrics that we watch very closely as an organization. And overall, at the end of the quarter, our DSO trend was favorable to where we were at the end of the year. And the other metric we look at is our past due receivables, and both of those metrics are in line with historical norms. So I think we’re in good shape at that point.
Jack Rogoff: Got it. Thank you.
Operator: Our next question comes from the line of Jailendra Singh with Credit Suisse. Your line is open.
Jailendra Singh: Thanks. Hi, everyone. So I just want to – can you elaborate more on your assumptions around elective procedures not coming back until Q3? Clearly, several states are now allowing electric surgeries. There are expectations that we might start seeing some surgeries coming back in Q2. I’m just trying to understand like why are you being kind of thinking that you might not see any recovery until Q3. Are you just being conservative? Or is it like more something you’re hearing from hospital clients, any thoughts on that?
Ed Pesicka: Yes, absolutely. So as we put our forecast together, right? That was really formulated during the last – looking at the last two weeks of March and then the first several weeks of April. And we thought it was prudent to assume that those trends would continue through the second quarter. I guess the way I would characterize it is that if there were to be a return to normal sooner than what we’ve anticipated, I would think of it as then taking away from the optimism I have in the second half of the year, right? So if there’s fewer elective procedures deferred, that means there’s fewer elective procedures to make up in the second half of the year. So certainly could play out that the second quarter would be better than what I’ve laid out, but I wouldn’t change my full year assumptions based on that, if that makes sense.
Jailendra Singh: Okay. And then maybe, Ed, if you can take a step back. And based on your experience and now dealing with this COVID-19 situation, if you guys can share some thoughts around maybe one or two structural changes or process improvements you think should be made to the U.S. supply chain industry to make sure the industry is better prepared to deal with any such pandemic in future. Any thoughts like what we should be doing moving forward, make sure we are better prepared for situations like this?
Ed Pesicka: Sure. So as I spent a significant amount of time interacting with the federal government, specifically on this topic, and we have provided varying types of conversations around that. I think there’s really two ways to do it. It’s really around how do you drastically increase supply of the product here in the U.S., and how do you find ways to reduce demand, whether that’s through reusing a product and other technology I think what it’s proven out in this process is, if I think about Owens & Minor and our American-based manufacturing footprint versus others, that primarily have product manufactured for them in China or Asia or other parts of the world, what this has proven out is the ability – as I talked in my prepared remarks, and I want to make sure this wasn’t missed, our ability to control the domestic supply chain from manufacturing to distribution to the customer has made a big difference for us. I read the quote from the customer that addressed that specifically. And I think that is what fundamentally it shows works. If you can manufacture the product in the Americas, if you can quickly get it there and you have control of that supply chain from manufacturing to supply to distribution to the customer and makes a big difference on ability to serve our customer during peak demands.
Jailendra Singh: Okay. Thanks a lot.
Operator: [Operator Instructions] Our next question comes from the line of Steven Valiquette with Barclays. Your line is open.
Ed Pesicka: Steve, are you there?
Operator: You need to unmute. Okay, we may have lost Steven Valiquette. I’m not showing any further questions.
Ed Pesicka: Well, great. Well, thank you, operator. I’d like to start by thanking everyone for joining us on the call this morning. And I have to tell you, I was really looking forward to seeing many of you at our May 22 Investor Day in New York. There’s going to be an opportunity for us to show the extended leadership team as well as provide everybody the opportunity to see some of the great things that we’re doing as a company. However, unfortunately, due to pandemic, we have to postpone this meeting, and we’ll schedule it for a later day, but we’re still going to have an Investor Day. Secondly, while this has been unprecedented time due to the COVID-19, I believe that our business model demonstrates that we can quickly adapt, we can quickly leverage our distribution products and service businesses to best service our customers. And finally, I want to take this opportunity to let everyone know that we take the responsibility to support the frontline health care workers very, very seriously. And I’d like to personally thank those on the frontline for all that they have done, all that they are doing and all that they will continue to do during this crisis. Thank you, everyone.
Operator: Thank you for your participation. This concludes the call. You may now disconnect.